Operator: Good morning, everyone, and thank you for joining us for the AvidXchange Holdings, Inc. Fourth Quarter and Full Year 2024 Earnings Call. Joining us on the call today is Mike Prager, AvidXchange's co-founder and Chief Executive Officer, Joel Wilhite, AvidXchange's Chief Financial Officer, and Subhash Kumar, AvidXchange's Head of Investor Relations. Before we begin today's call, management has asked me to relay the forward-looking statements disclaimer that is included at the end of today's press release. This disclaimer emphasizes the major uncertainties and risks inherent in the forward-looking statements that the company will make this afternoon. Please keep these uncertainties and risks in mind as the company discusses future strategic initiatives, potential market opportunities, operational outlook, and financial guidance during today's call. Also, please note that the company undertakes no duty to update or revise forward-looking statements. Today's call will also include a discussion of non-GAAP financial measures, as that term is described in Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today's press release, the company has provided a reconciliation of these non-GAAP financial measures to financial results prepared in accordance with GAAP. With that, I will now turn the call over to Mike Prager. Go ahead.
Mike Prager: Thank you, everyone, for joining us today to discuss AvidXchange's fourth quarter and full year 2024 results. We finished the quarter and the year on the strongest financial footing since we began our journey of delivering industry-leading accounts payable automation and payment solutions to our middle market customers 25 years ago. Our fourth quarter 2024 results exceeded implied expectations across all of our core financial metrics. This includes better than expected revenues, gross margin, EBITDA margin, and non-GAAP diluted earnings per share despite what has been and remains a challenging macro backdrop impacting our middle market customers. Our better than expected fourth quarter financial results were augmented by our strong free cash flow generation and disciplined capital allocation. Notably, we repurchased an additional $25 million worth of AvidXchange shares during the fourth quarter of 2024, underscoring the long-term confidence we have in our business. This brings the total shares repurchased in 2024 to $50 million, the maximum allowed within a calendar year under the $100 million share repurchase program we announced in August of 2024. The common denominator underlying our strong financial results this past quarter and since our October 2021 IPO, particularly around gross margins, EBITDA margins, and operating cash flow generation, is our operating discipline around the levers within our control. This operating discipline, coupled with our multiple innovation work streams, including our AI initiatives within our products and payment delivery, as well as service automation, has enabled us to counter much of the macro headwinds impacting our margins. This has resulted in another quarter of non-GAAP gross and adjusted EBITDA margin expansion since our IPO and also achieving our 75% targeted margin milestone outlined during our June 2023 Investor Day. 2024 was no exception, in which we saw more than four percentage points of gross margin expansion over 2023 alone and greater than ten percentage points of EBITDA margin expansion over 2023. What has overshadowed the strong execution on margins is the macroeconomic environment, which remains mixed. This is particularly the case in the instance of our top of funnel customer engagement and buyer logo growth metrics. On the positive side, in 2024, we saw pockets of modest but positive growth in the top of funnel across three of our largest and, in many cases, strongest tenured verticals by revenue, transactions, and total payment volume, including our real estate, financial services, and media verticals, as well as declines moderating in the HOA vertical. While the overall top of funnel opportunities were down roughly 2%, some of which was due to changes in our go-to-market motion over the 2023 and 2024 period, and some due to the macroeconomic environment, the growth in the buyer customer logo count for 2024 was better on a relative basis, up over 6%, driven by higher quality opportunity lead generation across our ERP partner-related channels. This compared to buyer customer logo count growth of 8.1% in 2023 with a top of funnel that grew in double digits. Given the impact of the macroeconomic dynamics across the middle market customer base, we are steadfast in the belief of solidifying our growth foundation, and the future growth levers of our business remain a key priority to drive our business flywheel and create a durable growth business along with increasing our competitive moat around the middle market for many years to come. Middle market finance leaders remain focused on productivity and profitability, and they are looking for business process domain experts with scalable solutions such as AvidXchange to unlock the opportunity for themselves and their suppliers. This is where AvidXchange shines, as an industry leader with the best-of-breed scalable API automation and payments solutions to address the large opportunity set. Recently signed and highly strategic integration and reseller partnerships, of which I will provide an update later in my prepared remarks, should underscore our confidence in the future organic growth trajectory of our business. Similarly, customers such as DRM also highlight how we are well-positioned across the middle market and are rapidly unlocking tangible benefits and cost and time savings for them. DRM is a major player in the hospitality industry, which is a relatively new formal vertical for us and has been seeing healthy growing momentum. DRM is one of the largest franchisees for Arby's, the world's second-largest sandwich brand with over 3,400 locations worldwide. Upon joining DRM, CFO Mark immediately turned his focus to revamping and streamlining their accounts payable process, given that it is both manual and paper-intensive, with immensely inefficient approval workflows, which pose challenges to DRM's ability to scale their back office to keep up with their overall growth. With NetSuite as its core accounting system, Mark adopted AvidXchange's invoice and payment solution given our deep integration with their NetSuite software. With our solution, DRM was able to support its double-digit growth objectives without any additional accounts payable headcount, translating to over $60,000 in annual cost savings and creating a great user experience with his team of AP specialists leveraging our built-in NetSuite integration and user experience. As Mark stated, "I took a leap of faith when I joined the DRM team and asked them to change the way they work by automating accounts payable with AvidXchange, and I could not be more pleased with the outcome." Turning now to some of the performance highlights and metrics from the fourth quarter of 2024 that underscore our value proposition and operational execution in action. Revenue in the fourth quarter was approximately $115 million, up roughly 11% year over year. The growth in the quarter was led by a combination of increased transaction volume and transaction yield growth. Non-GAAP gross margin, meanwhile, hit a milestone coming in at almost 75%, up 350 basis points over last year, at the top end of our 72% to 75% non-GAAP gross margin target ahead of our 2025 objective we set over a year ago at our last Investor Day. Our continued focus on automation, implementation of AI across significant work streams, sourcing, along with standardization, which are in various stages of the maturity curve, continue to bear fruit. Along with solid operating expense discipline, adjusted EBITDA margins on the quarter reached almost 23%, once again hitting the milestone we committed to during our Investor Day. Our important transaction yield metric, which is the total revenues over total transactions, was up more than 6% to reach $5.80 per transaction. It is worth reminding investors that transaction yield is a metric that we have consistently messaged since our IPO as a primary metric we focus on across our leadership team, and it demonstrates the power and effectiveness of our AvidXchange business flywheel. With that overview, I am going to highlight the four operating priorities for 2025, which we believe will help us deliver our long-term growth potential, continuing to expand our margins even further. I will use the four gears of the AvidXchange business flywheel to describe and highlight some of the initiatives that are in flight that will support these priorities. Our four operating priorities for this year are as follows: Number one, continue building the foundation of future growth through ERP integrations and embedded partnerships along with continued vertical market expansion. Number two, deliver on key product innovation pipeline highlighted by our payment accelerator 2.0 offering, our Pay 2.0 platform, and our new spend management platform. Number three, scaling our various new products to support all 8,500 buyer customers and our roughly 1.4 million supplier customers and delivering the value proposition they expect from AvidXchange. And finally, priority number four, continue to elevate the customer experience across AvidXchange's product suite for both our buyer and supplier customers across our purpose-built two-sided network. To build on the robustness of gears one, two, and three, which are about creating robust customer-focused ERP integrations, as well as maximizing transactions and monetization on our platform to drive growth and scale, I am very pleased to provide an update on some of the previously announced and notable ERP integrations in our embedded pay partnerships. As stated in the past, we believe that a large number of our valuable ERP integrations and consequential strategic partnerships, coupled with our product innovation pipeline, lay the foundation for future growth. For instance, recently announced notable large software integration partnerships are beginning to gain steam. The AppFolio partnership, which has roughly 19,000 product market fit targeted customers, went live in early 2024 and has seen a doubling in customer engagement lead flow to several hundred, with close rates almost doubling in the last year alone. M3, on the other hand, with a product market fit target customer base of roughly 1,000, is progressing even faster, with lead flow tripling to hundreds, with close rates up almost 4x in the last year. We believe that the momentum of these two partnerships is building because of our partners' continued commitment, which is fueled by the recognition of our industry-leading payment modernization and the rapid and quantifiable ROI for their customers by leveraging our highly dense purpose-built two-sided network. While these two highlights are just part of the class of 2023 partnerships alone, 2024 was another productive year for the partnerships across our HOA, healthcare, and financial service verticals, including Buildium, DSOs, and Cadence Bank, to name a few. And we anticipate that these partnerships should start to gain traction in a similar way to AppFolio and M3 during the latter part of 2025 and meaningfully in 2026. All in, we are excited about the momentum building across our business flywheel, these partnerships, and look forward to announcing additional ERP and payment embedded partnerships as they progress in the pipeline in the coming quarters. Now I would like to provide an update on the new products that are in the foundation of our future growth and should drive gears three and four of our business flywheel. Under gear three of our business flywheel, which is all about monetizing payment volume and maximizing e-payment penetration, leveraging the new payment modality product innovation to continue eliminating paper checks, 2025 marks a pivotal year as we ramp up the key functionalities of our new AvidPay 2.0 payments platform, which serves as the foundation of our AvidPay network. We believe that the capabilities of AvidPay 2.0 will enable us to create new payment modality offerings for real-time configuration, combining pricing terms, speed of settlement, access to remittance data, and payment acceptance automation, eliminating the need for lengthy software development dependencies. Along with supporting our ability to manage numerous new payment modalities, to create a payment acceptance value proposition for our customers that is second to none. With AvidPay 2.0, we anticipate increasing our penetration and share of our buyers' customers' payment files in several ways while capturing greater transaction economics. First, improvements in critical-to-pay supplier information, coupled with additional payment mechanisms, we believe will allow us to offer a variety of guaranteed solutions for time-sensitive payments. Second, by expanding our payment network solutions, we aim to increase e-payment adoption, which will enhance overall payment monetization, reduce mail check volume, and accelerate payment speed, along with significantly reducing payment fraud, as we estimate that with B2B payments, almost 90% of fraud relates to paper checks. Third, our enhanced ability to customize product payment modalities, speed, remittance, and price in real-time should drive additional e-payment options for both buyers and their suppliers. Finally, with our new AvidPay 2.0 platform, we believe that we have not only enhanced revenues through expanded buyer and supplier products, greater payment monetization, and increased share of wallet but also improved our cost structure in both hard and soft operational costs, including direct expense or reducing paper check payments. Taken together, these things should create substantial opportunity for us in terms of revenue growth and margin expansion as we convert their paper check suppliers to accepting one of our many forms of ePayments. In addition to Pay 2.0 and also under gear three of our AvidXchange flywheel, we have launched initiatives to fast-track existing new conversion into electronic payments. Dubbed the extended network payments, these efforts go hand in hand with new offerings being rolled out as part of AvidPay 2.0 in a highly strategic and value. In fact, the new efforts could represent a step function change in reducing the number of checks, which has represented around 55% of payment transaction mix today. We have entered into a strategic partnership with a large financial technology firm and various other such partnerships in process within the financial services ecosystem to accelerate the conversion of paper checks with specialty networks of suppliers into electronic payments, which should bear fruit in 2025. We look forward to discussing this in greater detail as the year unfolds. Also under gears three and four of our business flywheel, which is about both maximizing e-payment penetration and leveraging innovation and data to create new product offerings, we plan to significantly scale our flagship AvidXchange Auto 2.0 supplier financing offering in 2025. For those new to our story, Payment Accelerator 2.0 is our supplier financing product, where suppliers can elect to have eligible invoices advanced for immediate payment. We have had version 1.0 of the product in the market for the past few years, which has generated a lot of learnings and interest across suppliers. Version 2.0, which was launched at the end of 2023, marks a step function change in the product. The 2.0 product is the next generation in terms of user experience with enhanced features and functionality that should drive scalability. To put it in perspective, Payment Accelerator 2.0's target service level agreements compared to its predecessor are compressing the onboarding time to less than 24 hours from several days previously. In the near future, we expect to be able to compress that time frame down to minutes. What makes this process frictionless is that having both the buyer and the supplier on our AvidPay network eliminates the need for traditional underwriting processes, which typically require historical financial statements from a supplier. This means leveraging supplier and buyer history and transaction data, as well as real-time visibility into the status and approvals inherent on our two-sided network, to underwrite and lower the credit risk, as well as providing protective provisions across the entire flow of invoices that a particular supplier may have on our network. The rapid onboarding process is also a result of the platform's highly integrated back end that is designed to simultaneously validate the supplier's bank account information along with know your customer and know your business compliance regulations in real-time as a supplier validates an online questionnaire of legal entity data and beneficial ownership information. Once onboarded, a supplier is presented with multiple acceleration offers with transparent pricing and various time-based funding options, including real-time payments. In addition to the payment accelerator offering outlining the eligible supplier invoices that are available for acceleration, we also provide an auto fund option where our intelligent decision engine automatically identifies all of the suppliers' eligible invoices and funds them automatically, ensuring the fastest access to cash availability every time an eligible invoice is available on our network. The rolling three months volume of dollars accelerated and the number of new payment accelerator customer enrollments has already more than doubled, giving us confidence that the ramp targeted for payment accelerator 2.0 to potentially achieve revenue parity with the 1.0 version this year. Finally, I would like to provide an update on our operational strategy that has been instrumental in efficiently scaling the business while lowering unit cost and driving our impressive gross margin expansion. We have made tremendous strides in increasing our non-GAAP gross margins, and we expect there is more to come. Since our IPO in 2021, even stripping out the contribution from float and seasonal political revenues, our non-GAAP gross margins have been up almost ten percentage points to almost 70%. We believe that the success on the gross margin front is all due to disciplined execution on our strategy around standardization, sourcing, and automation, which has all been about leaning into self-learning and scalable AI solutions across key operational functions of our business. Recall, there are six ways in which we execute virtual card payments as an example with our pipes. One is biased rate through process. Second is direct API connections. Third is online portals. Fourth is through IVR systems. The fifth is through traditional email. The sixth is over the phone. As a result of leveraging AI, we have now accelerated our virtual card automation strategy. To put that in context, the number of virtual card transactions in 2024 over 2023 increased by roughly 600,000, but we automated almost 700,000 more than the total increase of the total number of virtual card transactions. In other words, we are rapidly automating not just new virtual card transactions on our network, but also converting the back book of virtual card transactions as well. This is highly synergistic with our new AvidPay 2.0 platform to convert paper checks into electronic payments. This further highlights our scalability of our platform, which, thanks to the current AI solutions, we can now automate at a higher speed. Ultimately, our goal is to get over 80% virtual card automation over the next two years, which should continue our gross margin expansion towards 80% as we leverage automation combined with various yield enhancement levers. In closing, we are proud of our operating performance amid continued macroeconomic headwinds impacting our middle market customers. While the 2025 guidance reflects a cautious approach given the unpredictable macroeconomic environment, we continue to firmly execute on the levers we control and invest in our product roadmap to drive future growth across our business. With our four operating priorities interlocking with the four gears of our business flywheel, we continue to strengthen our competitive advantage further by building out new strategic and integration partnerships as well as driving scalable innovation across our payment platform through new products leveraging AI, which we believe position us well for the future. In 2024, we entered into strategic and integration partnerships across various verticals, including real estate, hospitality, HOA, healthcare, financial services, along with media and non-profit. This builds on the success of partnerships entered into in 2023, such as AppFolio, M3, etc. These partnerships, coupled with the scaling of our new product offerings, including Payment Accelerator 2.0, our new pay platform 2.0, and spend management, which we expect to roll out in the second half of 2025 and ramp in 2026, should provide momentum to potentially outrun our 2025 growth expectations in 2026. We strongly believe in our vision of the long runway of growth in the accounts payable and payment automation market across the middle market segment. While our growth trajectory has been below our targeted overall the last two years impacted by the macro environment, demonstrated operating discipline as well as belief in our leadership position and the competitive advantage we are building across the middle market's untapped opportunity. I want to provide a special thanks to all of our AvidXchange team members for their continued hard work, dedication, and relentless focus in executing our operational and strategic priorities that drive value for our customers, create opportunities for their professional growth, and most importantly, build long-term value for our shareholders. With that, I would like to turn the call over to my partner, Joel Wilhite.
Joel Wilhite: Thanks, Mike, and good morning, everyone. I'm pleased to speak to you today about our strong fourth quarter 2024 financial results, which reflect disciplined operational execution amid continued macro headwinds. Overall, we delivered a strong quarter of year-over-year financial performance across the board. I'll expand on that in a moment, but let's see how we track relative to implied expectations. Relative to the implied fourth quarter 2024 business outlook, and excluding float and political revenue contribution, revenues came in above our implied expectations driven largely by higher total transaction volume. Gross margin performance remained strong due to ongoing progress on unit cost initiatives expansion. Coupling that with sustained operating expense leverage, driven by a combination of expense discipline and lower performance bonus, we drove stronger adjusted EBITDA outperformance relative to expectations. It's worth pointing out that this continues our streak of delivering adjusted EBITDA profit expansion ex-float and political. Equally noteworthy, we delivered our third GAAP net income quarter since going public in 2021. Now turning to year-over-year results. Total revenue increased by 10.9% to $115.4 million in Q4 of 2024, over the fourth quarter of 2023. Stripping out the impact of float and political revenues on a comparable basis, which provides a more apples-to-apples comparison of underlying growth trends, revenue growth was driven by a combination of pay yield expansion and the addition of new buyer invoice and payment transactions. Our revenue growth also resulted in total transaction yield expanding to $5.80 in the quarter, up 6.4% from $5.45 in Q4 2023. The increase was driven by software and pay yield, as well as higher payments transaction mix. Software revenue of $30.9 million, which accounted for 26.8% of our total revenue in the quarter, increased 6.4% in Q4 of 2024 over Q4 of 2023. The increase in software revenues was largely driven by a growth in total transaction count. Payment revenue of $83.4 million, which accounted for 72.2% of our total revenue for the quarter, increased 12.3% in Q4 of 2024 over Q4 of 2023. Payment revenue reflects the contribution of interest revenues, which were $12.2 million in Q4 of 2024 versus $13.7 million in Q4 of 2023. Political media revenue in the current quarter was approximately $2.9 million and negligible in the same period a year ago. Excluding the impact of float and political revenues from both comparable periods, which provides a more apples-to-apples comparison, payment revenues grew 13.5% driven by a combination of an increase yield, greater payment mix, and payment transaction volume increase of 8.3%. On a GAAP basis, gross profit of $78.8 million increased by 17.1% over the same period last year, resulting in a 68.2% gross margin for the quarter, compared to 64.6% in Q4 2023. Non-GAAP gross margin increased 350 basis points to 74.9% in Q4 of 2024 over the same period last year, with the lion's share of the increase driven mostly by unit cost efficiencies and yield expansion and to a minor extent by lower annual performance bonus accruals. I'm pleased to say that the fourth quarter 2024 non-GAAP gross margin was now at the top end of the 72% to 75% range targeted for 2025 as projected during the company's June 2023 Investor Day. Moving on to our operating expenses. On a GAAP basis, total operating expenses were $82.5 million, an increase of 3.7% in Q4 of 2024 over Q4 of last year. On a non-GAAP basis, operating expenses excluding depreciation and amortization and stock-based compensation increased as well by 2.3% to $60.1 million in the fourth quarter of 2024, from the comparable prior year period, with the increase driven primarily by sales and marketing initiatives partially offset by lower annual performance bonus expense. On a percentage of revenue basis, operating expenses excluding depreciation and amortization and stock-based compensation or non-GAAP OpEx declined to 52.1% in the fourth quarter of 2024 from 56.5% in the comparable period last year. I'm equally pleased to say that fourth quarter 2024 non-GAAP OpEx as a percentage of revenues in the quarter was at the bottom end of the 50% to 55% range targeted for 2025 as projected during the company's June 2023 Investor Day. Overall, the decline in non-GAAP OpEx as a percentage of revenues year over year largely highlights expense discipline and significant operating expense leverage across G&A, R&D, even after stripping out the contribution of float and political revenues. I'll now talk about each component of the change in operating expenses on a non-GAAP basis. Non-GAAP sales and marketing costs increased by $2.4 million or 14% to $19.9 million in Q4 of 2024 over Q4 of last year, with increased investments in sales and marketing spend to support our continued growth partially offset by lower annual performance bonus expense. Non-GAAP research and development costs were essentially flat on a comparable basis at $22 million in Q4 of 2024, and were helped largely by lower annual performance bonus expense. We continue to reinvest across our products and platform, including spend management, pay offering, and payment accelerator. Non-GAAP G&A cost decreased by approximately $1 million or down 5.2% to $18.2 million in Q4 of 2024 versus Q4 of last year, due largely to lower annual performance bonus expense. As a percentage of revenues, G&A costs continue to trend lower as we continue to leverage public company costs across a larger revenue base. Our GAAP net income was $4.7 million for the fourth quarter of 2024, versus a GAAP net loss of $4.5 million in the fourth quarter of 2023. With the $9.2 million positive swing in net income driven largely by solid gross profit increase and expense control leading to a positive swing in operating income coupled with higher net interest income due to reduced borrowing costs and partial debt pay down. GAAP diluted earnings per share for the fourth quarter was $0.02. Previous period last year. On a non-GAAP basis, our net income in the fourth quarter of 2024 almost doubled to $17.3 million versus $9.4 million in the same year-ago period, with non-GAAP diluted earnings per share up 60% to $0.08 versus $0.05 diluted earnings per share in the fourth quarter of 2023. All of the net income performance was driven primarily by the aforementioned factors. On a non-GAAP basis, Q4 2024 adjusted EBITDA was $26.3 million versus $15.6 million in Q4 of 2023, with the favorable delta split mostly between expense leverage driven by higher comparable revenues and lower annual performance bonus expense. Turning to our balance sheet for a moment, I want to touch on a few key items. We ended the year with a strong corporate cash position of $389.3 million of cash and marketable securities against an outstanding note payable for $9.1 million. Year-end, our credit facility, which consists of a $150 million revolver, with a $150 million accordion feature, remained undrawn. During the quarter, the company utilized $25 million of cash from its balance sheet to purchase approximately 2.3 million shares of its own shares at a price of $11.10 under our $100 million share repurchase program announced in August 2024. For the year, the company utilized approximately $50 million of cash, the maximum allowed within a calendar year, to purchase 5.4 million shares at a price of $9.33 per share. Corporate cash, meanwhile, was split roughly three-quarters and with one-quarter between demand deposit accounts and various other fixed income interest instruments, including money market funds, commercial paper, and time deposits in time deposit instruments, respectively. The weighted average maturity on the corporate cash was roughly 13 days, while the effective interest rate on our corporate cash position for the fourth quarter was roughly 4.7%. Customer cash at quarter-end was approximately $1.2 billion with an interest rate of roughly 4.3% for the quarter. Turning to our 2025 business outlook, we expect total revenue for the year to be in the range of $453 million to $460 million. Our 2025 revenue outlook reflects approximately $44 million of interest revenues from customer funds, versus $49.7 million earned in 2024. We do not anticipate any political media revenue contribution in 2025, versus $6.6 million in 2024. We expect 2025 revenue distribution between the first half and second half of the year to be approximately 48% and 52% respectively, roughly similar to levels in 2024. Similarly, we expect non-GAAP adjusted EBITDA profit ranging between $86 million and $91 million for 2025. We also expect 2025 non-GAAP diluted earnings per share in the range of $0.25 to $0.27, which does not currently reflect the impact of any additional share repurchase program. With that, I'd now like to turn the call back over to the operator and open up the line for Q&A. Operator?
Operator: Thank you. We will now begin the question and answer session. At this time, we will pause for a brief moment to assemble our roster. And your first question today will come from Will Nance with Goldman Sachs. Please go ahead.
Will Nance: Hey, guys. Good morning, and thank you for taking the question. I wanted to follow-up on some of the comments in the prepared remarks. You know, Mike, you referenced what has been very strong kind of gross margin expansion and OpEx control that has offset a lot of the macro business that you've seen in the business. And I just wondered if you could give us an update on your view of where we stand on the runway for that to continue. Gross margins now kind of being at that 75% level, OpEx being kind of flat, you know, flattish for, you know, a pretty extended period of time. Are you starting to see the point where your cost needs to start to grow again or, you know, do you see more room to go, particularly on the gross margin side, just given where you've laid out the targets?
Mike Prager: Yeah. I mean, great question, Will. You know, what we think is, you know, kind of the long-term trajectory of what we're doing is, you know, marching towards that 80% targeted gross margin number. And it's a combination of, I kind of, you know, putting the three big buckets, so continue to be aggressive in our sourcing strategy, standardization across the business, combined with automation led by AI. And, you know, though we're, you know, a couple years into our AI journey, we think there's a lot of runway in the use cases that we're currently working on, you know, continue to be really exciting for our team and trick rating. You know, that increased efficiency. So we see a firm on the runway, you know, continue out. I'll also say it's probably not gonna be a direct straight line. And you know, we'll see some, you know, kind of, you know, periods of improvement, but also as we continue to, you know, kind of, you know, begin to really accelerate the revenue growth out, I will element of the business. We're gonna see some scale creep into that number as well. So combination of what I said combined with the scale gives us a lot of confidence. They continue to grow that number towards the 80% plus milestones what we're talking.
Will Nance: Got it. That's very helpful. And then maybe, Mike, if you could spend a little bit of time on the financial services partner that you added and the initiative around paper checks. Sounded interesting and sort of incremental. Just wondering if you could provide a little bit more context around, you know, how that's going to work and, you know, what you know, any milestones that we should be looking out for. Thanks.
Mike Prager: Yeah. So good question. And one of the things that we've, you know, as we, you know, that we've noticed as we're building our own network, there's other people in the ecosystem that have developed specialty networks for certain, you know, say, classes of suppliers or types of transactions. And it's like, oh, do we wanna, you know, kind of recreate the wheel and also build both specialty networks, or do we wanna kind of partner and leverage the networks that they built? And so these are good examples where there is, you know, kind of targeted, you know, population of certain, you know, supplier sets that, you know, they're able to others are able to monetize, and we're gonna tap in to share that monetization. At the same time, you know, we're doing something similar with our network. And we call it kind of an extended network concept of making our network available to others just like we're tapping with other people's networks. And so I think the direct reply is gonna be is we're gonna see, you know, kind of an escalating elimination of paper check, which is kind of the common enemy and the objective that we have is to continue to move forward and maximize electronic payments, and we think this is just one of our strategies.
Will Nance: Got it. Appreciate you taking the questions.
Mike Prager: Yeah. Thanks, Will.
Operator: And your next question today will come from Robbie Bamberger with Baird.
Robbie Bamberger: Yeah. Thanks for taking my question. Maybe just thinking about what's embedded in the 2025 revenue guide, how much, you know, macro headwind, should we expect there to be in 2025? And I guess, what do you expect, you know, same store sales growth to be into next?
Joel Wilhite: Yeah. Thanks, Robbie, and great question. Yeah. Obviously, if you think about 2025, there's a couple things to keep in mind. First of all, obviously, you know, if you think about the float dynamic and the political dynamic, you have to consider that, you know, and I think our prepared remarks made clear that after about a $6.6 million political year in 2024, that revenue will be negligible in 2025. Also from a float revenue standpoint, we generated about $50 million in 2024, and we expect that to be closer to sort of $44 million in the 2025 year. So that's the first thing I'd say. So if you strip those out and you think about what our kind of guidance is at the midpoint, roughly an 8% growth. And to your question fundamentally, you know, we've been tracking the macro impact through the overall total transaction growth in the business. And we've commented around our fundamental transaction retention being below 100%. We were encouraged in Q3 when we saw the first time in several quarters that growth rate. That's up to about 5.2% in Q3, but it did turn around slightly and it took to about 4.3% in Q4. Suffice it to say that we feel like we're kind of bouncing around the bottom, and our guidance contemplates that we don't see meaningful improvement or worsening from there. So fairly consistent low single-digit overall total transaction growth, and sub-100 retention. Maybe the final point I'll make is when you think about that 8% growth, a couple of things we're excited about as we exit 2025 include, and Mike referenced this in his prepared remarks, acceleration we're beginning to see in payment accelerator, making a meaningful contribution, say, about a point of that growth in the back part of attributable to that ramp in the back part of 2025. Also, some success works we're expecting in new payment methods also contributing, let's say, roughly another point as well. So hopefully, that gives you a sense of kind of what's contemplated from a guidance standpoint.
Operator: Your next question today will come from Ramsey El-Assal with Barclays.
Ramsey El-Assal: Hi, guys. Thank you so much for taking my question this morning. I wanted to ask about recent trends and whether, you know, the Q4 exit rate looked pretty healthy. I'm just curious if you're seeing anything quarter to date that's giving you incremental, you know, pause in terms of, you know, how you're framing up the year. Thanks.
Joel Wilhite: Yeah. Thanks, Ramsey. Here's what I would say. Nothing no incremental pause from what we're seeing so far. If I look at January, the sort of volumes and transaction growth is really in line with what we expected. So so far, sort of in line with those guidance expectations. So what we again, we're obviously moving through a period of uncertainty and spending across our buyer base, but, you know, while navigating that, we're pretty proud of the business that we've built in terms of growth, profitability, cash flow generation. So obviously, you know, expecting the year where the macro persists, but really believe that before too long, we see growth resent.
Mike Prager: Yeah. And Ramsey, it's Mike, and then maybe to add on there is one of the real, you know, things that, you know, gets us excited about the year is the momentum that we're seeing across our new channel partners. Across the board, we're seeing strong momentum. We saw some, you know, slowdown in Q4, you know, during the election cycle. And that, you know, kind of pushed a lot of activity into 2025. And we're seeing, you know, some really good engagement there. And so we're looking forward to, you know, seeing that kind of really pull through during the course of the year around, you know, the new, you know, buyer logo counts and continue to scale the buyer side of the business equation. And that's a critical element of our growth algorithm.
Operator: And your next question today will come from Craig Maurer with FT Partners. Please go ahead.
Craig Maurer: Yeah. Thanks. Good morning. I wanted to focus on top of funnel for a second. You know, only 500 logos added to the platform. And, you know, look, I understand the discussion on macro, but, you know, how can you accelerate new logo additions? I mean, should we be worried about TAM saturation or pricing needs adjusting, like, what's holding that back? You know, and secondly, how should we think about really, Investor Day targets? I mean, we've been, you know, running below that in some respects. And what's the confidence that we should be modeling toward those numbers again? Thanks.
Mike Prager: Yeah. So two meaty questions there, Craig. So maybe I can try to, you know, start by tackling kind of the new logo piece. Then we'll work into the second half of your question there. So first of all, you know, one of the things that, you know, I've been commenting on is, you know, we are marching toward through last year. You know, going into Q4, we're running slightly ahead on new logo counts through three quarters. Now met everybody about, you know, 60% of our new logos get generated in the second half of the year, and the majority of those are in the fourth quarter. And one of the things that we saw is, you know, during the fourth quarter, there's a slowdown in new logo ads during the election cycle. I think it's just a function of, you know, CFOs and senior finance leaders being more cautious and not knowing what they're expecting in the election. And so they were putting decisions on hold. And so we ended up, you know, seeing that somewhat accelerate post-election, but not enough within a time left in the year to, you know, get back to the momentum that we saw, you know, kind of leading into the quarter. And so we, you know, believe that, you know, as we go into the year with a pretty big backlog, the pipeline of deals, you know, that got, you know, pushed from Q4 into the new year combined with the momentum that we're seeing around our new channel partnerships is what gives us that, you know, confidence related to, you know, getting back to, you know, kind of 10% new logo growth. 10% plus is kind of our objective there. And so those are kind of the building blocks there. Certainly seeing, you know, kind of leveraging the new channel partners. We have not only, you know, the ones that we've been talking about, the AppFolio, M3 that are performing extremely well, you know, M3, like, 3x the activity that we saw a year ago. AppFolio, 2x the activity that we saw a year ago. And so those are real positive elements for us. Not to mention, you know, the pipeline that we have around new embedded ERP partnerships that we'll be announcing in, you know, the quarters to come. And so I think that's what gives us the confidence related to, you know, kind of the new logo elements, which is, you know, kind of the first step of kind of the overall growth algorithm. And then, you know, maybe I'll just list the other two and turn it over to Joel to provide context. The second one is our new buyer, you know, customer growth is kind of critical. You know, innovation that drives the yield and expansion. That's, you know, payment accelerator 2.0, spend management, our Paycheo platform, and some of the impacts that we have against all our AI initiatives. And then the third is that retention element. Both, some of the customer experience that we control as well as the macro piece that we're, you know, currently pacing. You know, roughly, you know, about six percentage points below we see as a normalized state. So maybe turn it over to Joel related to, you know, kind of that second piece of the question compared to the rest of the day.
Joel Wilhite: Yeah, Craig. So it's a good question. And here's the way I would sort of think about balancing the equation for you. Obviously, since, you know, summer of 2023 when we held investor day, we've been in a deeper and longer kind of macro impact, you know, impacting buyers and their spending across the middle market, certainly across our buyer base. And so from a growth perspective, you know, we're off. It's that's pretty straightforward and obvious. But on the other side of that equation, we're ahead of schedule on gross margin, finishing at almost 75% for the quarter, that was a target we set for ourselves for 2025, not Q4 of 2024. So we're pretty proud of the progress we've made. And to Will's initial question, we think we still have distance we can cover even at moderated growth rates in terms of the continued expansion and growth margin and EBITDA. Obviously, though, we need growth to return to get back to that kind of rule of 40 trajectory we also talked about at investor day. I think we're doing a good job controlling what we can around OpEx scale and gross margin expansion. But we do need to see ourselves back to kind of a double-digit growth rate. And at that moment, I think we're sort of back on track as you think about sort of the rule of 40 target. And then finally, we talked about, you know, kind of our e-payment mix. We're excited about kind of the progress that we see as we exit the year and moving that ePayment mix as a percentage of our total payments, moving that forward based on the investments we've been making and expect to see the result of through a pay platform investments and payment accelerator. So again.
Operator: And your next question today will come from Andrew Bauch with Wells Fargo. Please go ahead.
Andrew Bauch: Hey, guys. Thanks for taking the question. I wanted to ask on a vertical-specific basis. I think that the commentary that we've heard through the course of 2024 was that, you know, all verticals were generally seeing this just kind of subdued activity, but just wonder if there are any kind of divergences you're seeing exiting 2024 and what's informing your guide for 2025?
Mike Prager: Yeah. So Andrew, good question. And so, you know, remind everybody we go to market in nine different industry verticals plus the horizontal layer. And within the verticals, you know, the ones that we saw performing, you know, at a really strong note, you know, kind of during the quarter, were the real estate vertical led by multifamily, our financial services vertical, and media. And I think construction, you know, kind of is one that met our expectations and, you know, due to, you know, kind of the adoption of our titanium offering there that we released earlier last year. And one that was kind of below our expectations was some of the kind of the macro headwinds was HOA condo association kind of vertical where we, you know, definitely saw, you know, a slowdown in, HOA boards, you know, authorizing additional purchases, doing capital projects, things like that. You know, the indications are that, you know, kind of getting through the election cycle was critical, you know, for a lot of those boards making those spending decisions. And so we're, you know, expecting that we see some significant improvement to that vertical throughout this year. But maybe Joel can comment a little bit on kind of what implied in the guide. But I think we, you know, took a, you know, kind of, you know, a conservative approach related to the activity that we're currently seeing across the verticals in terms of those, you know, kind of, discretionary spending and retention rates. You know, having that, you know, continue throughout the year without, you know, any real improvement or integration for that matter. But continue those, you know, kind of that trend line based on where we see it today. So that could certainly be upside throughout the year if we see some of that macro spending come back within the year.
Operator: And your next question today will come from Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Guys, thanks. Look. It's pretty clear that the environment around transaction retention is just uncertain. And so putting that aside is it's hard to really handicap where that when that goes back in a bigger way. Customer ads are obviously key as you discussed, and new innovation obviously is gonna be key. The accelerator topic, obviously, is one I wanna focus on. So just first on customer ads, did you just disclose or have you discussed what you actually expect in terms of number of new logos? I know you said 500 last year. Ten percent is your aspiration per year. And then really just maybe we can go a little deeper on why you expect there to be as much progress as you expect to contribute to growth from the accelerator initiatives. Where are we on that? How's it, you know, it does seem like a big opportunity, but I just wanna get an update on what progress has been made. Thanks, guys.
Joel Wilhite: Darren, maybe I'll go first just to answer one very specific question that you asked, and then I'll let Mike respond to the rest. But in terms of we didn't and we don't really pinpoint the sort of the new logo expectation that's baked into our guidance. But you're right. We believe that that's a meaningful part of our growth algorithm, and we think should be at the, you know, 10% plus range in a healthy environment. But, you know, we don't at the moment, we don't sort of provide endpoint guidance or quarterly updates on that. Mike, you wanna take the rest?
Mike Prager: Yeah. So, you know, related to payment accelerator, you know, Darren, I appreciate you have the comment here. And this is certainly a product that we've been working on for a while to make sure that we get it right. We think this, you know, is, you know, falls in the kind of the category of don't know if company changing, but certainly it's our next $100 million business. And adds a great diversification lens to, you know, providing significant value to the supplier side of the equation. And a couple of things that we're seeing here is, you know, we were it's a good cautious approach last year. As we, you know, released our 2.0 offering. To make sure that we got all the elements of it correct. And we feel really good about that. And now are, you know, laser-focused on this scaling of the product. And so just, you know, earlier, you know, this quarter, you know, we crossed the threshold of now we have more suppliers on the 2.0 product than we had on the 1.0 product. And so that was a big milestone for us. So we've seen significant, you know, adoption of the 2.0 product by new suppliers. The second thing is that we're seeing is, you know, kind of, you know, although the numbers are so small, you know, revenue growth is, you know, it's going out, like, you know, 100% a year. It's numbers are small, but, you know, we expect that business to double over the course of the year. And so, you know, we have, you know, lots of enthusiasm related to, you know, kind of the impact that product especially long term in the business.
Operator: Your next question today will come from Bryan Keane with Deutsche Bank. Go ahead.
Bryan Keane: Hey, guys. Good morning, and thanks for taking the question. Just a couple of clarifications. On the volume growth for 2025, I think if you exclude political, Joel, maybe you can just help us in how to think about what's the right growth rate, how much macro might be impacting the TPV implied growth rate? And then just a quick one secondly, payment revenue take rate as a percentage of TPV excluding float expanded again. You know, obviously, the second quarter went down a little, but it's kind of recovered nicely. How do we think about that trajectory in 2025 in the guidance? Thanks.
Joel Wilhite: Yeah. Thanks, Bryan. So just to come back to the first part of your question around what is guidance contemplate. So if you strip out political and float, what we're guiding in at the midpoint is right around 8% growth. And I think I mentioned in a previous response to a question that we do the mix of that is roughly 48/52 from a first half, second half. And then finally, we talked about roughly a point of that growth being attributable to the ramp in payment accelerator. As Mike has mentioned, and another point around movement, you know, favorable movement in e-payment mix. Second part of your question is just sort of what we're seeing from an overall yield standpoint. Again, we look at both overall total transaction yield and particularly excluding float and political. We also look at TPV yield. And we've seen both of those yield numbers moving in the right direction these past couple quarters and really just a function of our kind of continued focus on optimizing the monetization of our payments. And our, you know, pricing strategies and making sure that we're paying suppliers the way they want to be paid. I would say that, you know, we still expect yields again, so the starting point is, you know, something like 32 bps on overall TPV. So really industry-leading TPV yield in particular to start with. And we think with all of our strategies that we're leveraging to continue to shift towards e-payment, not to mention on top of which to begin to scale payment accelerator, feel good about the level of monetization, and we feel good about the ability to expand that as we move through 2025.
Operator: Your next question today will come from Dominick Gabriele with Compass Point. Please go ahead.
Dominick Gabriele: Hey. Great. Thanks so much. You know, if the new logos were pushed out in the fourth quarter, wouldn't that have wouldn't that put upward opportunity on the top of funnel in 2025 versus 2024? So maybe just help us square the mid-single-digit revenue growth rate. I guess I'm just thinking about versus, you know, retention. And I guess what markers, you know, when you're thinking about this total piece, what are some of the macro markers you guys are looking for to see potential acceleration in retention of new logo wins? Thanks so much.
Mike Prager: Yeah. So I think so first of all, let's break it into two parts here. There's a kind of new logo. And then there's retention. And so let me take kind of the, you know, the new logos first. Yeah. And so we, you know, ended the year with a really strong pipeline related to, you know, opportunities. Now one of the things when we talk about top of funnel, that relates to lead generation for us. So that, you know, could be just in deals would be kind of part of, you know, lead generation type definitions. And we've noticed a really strong engagement, you know, ending the year related to, you know, top of funnel, lead gen, and certainly the engagement across our key channel partners, you know, going all the way back to, you know, channel partners have been partners for years, for us combined with some of the new the new class of kind of 2023 and 2024 partners, you know, led by the AppFolio, M3, Buildium, Cadence Bank, as examples. Really strong, you know, demand gen lead flow that we're seeing. So I think we have, you know, a lot of optimism related to the new sales the sales engine, you know, getting back to the growth elements that we expect. The second kind of piece maybe is, the separate question and that is the retention. And that, our retention number that we focus on is really it's not a logo, it's volume. So, you know, just, you know, on the logo side, you know, we made commentary that that our kind of retention numbers there are kind of the, you know, the gold standard, mid-90% overall retention across all of our customers. Both buyers and suppliers. But the real focus element that we focus on is the volumes that we retain on our network. And so that number, you know, is in a normalized state. We have seen for many years being the kind of 104% to 105% range, but we see four or five percentage points of same-store growth built into our customer base. And, you know, as Joel indicated, you know, that's, you know, kind of sub-100 currently. So we have about six percentage points of kind of, you know, growth element that we expect to happen over time as the macro economy begins to improve to get back to that normalized state. So what are some leading indicators that we look at? Well, we have lots of visibility because typically starts with, you know, before a payment occurs, you have an invoice. In some cases, there's a purchase order. So we see, you know, insights to what people are spending, you know, 30, 60 days ahead of, you know, when that payment occurs. And we're looking for, you know, kind of changes in some of those discretionary spend categories. Like marketing, professional services, consulting, in the HOA vertical, this is where you have tenant or kind of, you know, CapEx and preventive maintenance type of, you know, spending activity that occurs. I made kind of comment earlier that, you know, one of the verticals that, you know, has, you know, that we're disappointed in the performance related to this element in the last year was the HOA condo association where basically, you know, HOA and condo association boards were very cautious about authorizing new spending for preventive maintenance type activity and just spending overall. You know, until they had, you know, certainly didn't do the election cycle. And then having more confidence in the macro economy. We think that, you know, those would be good, you know, kind of parameters for us to watch. As we go through the year to see if those some of those spending elements begin to occur. So those are the things that we're watching for. And, you know, as Joel indicated earlier, you know, the guide does not contemplate, you know, improvement in 2025. So that'd be certainly, you know, an opportunity. An upside opportunity should we see the macro, you know, return to get better throughout the year.
Operator: And your next question today will come from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Hey, Mike and Joel. I'll ask a little bit of a different question. Maybe just on the on some of the KPIs here. I noticed the spread between transactions and volume seem to be widening versus history. Do you expect that to normalize in 2025? Isn't there any learning from this? I guess I'm mostly curious if you think it's more likely that transactions come down move up closer to volume or vice versa?
Joel Wilhite: Yeah. Good questions, Tien-Tsin. So keep in mind that overall total transaction number is composed of a large base of invoice transactions, and a smaller but faster-growing base of payment transactions. And the payment transactions is what's driving that, like, 10% TPV growth. And there is some separation, obviously, if you think about payments revenue, stripping out float in political is about a 13.5% grower. That correlates to that 10% TPV, and that's just the incremental yield that we're seeing in the business. Hopefully, that helps.
Mike Prager: Yeah. And maybe just to add that, you know, some of the retention pieces that we've been talking about directly related to the transaction number. So the retention piece is based on transaction and volume is not factored into that retention. So certainly some of the macro impact that we're seeing on less transactions on our platform by some of those discretionary spend categories, you know, show up in that overall transaction number.
Operator: Your next question today will come from James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Great. Thank you so much. Appreciate all the commentary. Wanted to ask have a bigger picture question here on AI and its role in the B2B space. Saw some of the commentary about using Microsoft AI tools on invoice data, and having that functionality available to the whole customer base by the end of the year. But curious about how you're anticipating this evolving over the next few years. Appreciate all the thoughts. Thanks.
Mike Prager: Yeah. So a good question. I think, you know, when we look at, you know, kind of the impact AI had on our business, first of all, it's two, you know, two big buckets. One, are, you know, how we're incorporating AI into our products. That's to impact customers. And then the second kind of element is how we're using it internally just to make our, you know, business and our product and service delivery more efficient. And so a couple of kind of key areas that we're talking about internally within our products, you know, payment accelerator, you know, one of our newest generation of products. Is a great example. It's very AI-based in terms of identifying those, you know, invoices that are eligible to be advanced combined with, you know, just how we, you know, go through the process of onboarding, and, kind of approving a new supplier. As, you know, an approved, you know, payment accelerator type supplier. You know, I made some comments there. You know, kind of the impact of AI is taken that onboarding process down to, you know, hours from what used to take days to occur and we believe that actually we get down to minutes. So just game-changing. And so that's an example of, you know, kind of, you know, just, you know, AI just embedded in one of our new products that's sitting with all the new product innovation. AI is just a cornerstone piece of it. Some of the other big buckets, James, on the front end, in terms of the invoice creation side of all the different forms of invoices that were received from suppliers, able to, you know, kind of read those invoices efficiently. It started with OCR, pipe technology, and then we kind of added machine learning elements to it. Now there's AI elements to that, and it just keeps getting better. And so the customer experience in terms of, you know, the vast majority, you know, kind of, you know, 90% plus of their invoices coming in. That they can be automatically kind of read and auto just immediately incorporate into their workflow. The second element of the kind of the next element is what I would say on payment delivery. And this is where we've been, I mean, it's a really great success in terms of automating all the different payment delivery forms that we have. On kind of AI. And then kind of just starting the bucket internally, this is where we're super excited about the impact on customer care, you know, overall engineering and the pace of engineering. And in development and making, you know, kind of our engineers as really as productive as possible to move through road maps even faster and increase that velocity. So those are some of the elements internally. And I think, you know, in the scheme of things, that's what gives us a lot of confidence related to some of the runway on gross margins. As well as overall profitability of the business as we march forward.
Operator: And your final question today will come from Jamie Friedman with Susquehanna. Please go ahead.
Jamie Friedman: Oh, how are you? It's Jamie Friedman at Susquehanna. Oh.
Mike Prager: Hey, Jamie.
Jamie Friedman: So I just wanna go back to the Analyst Day message and slides as well. Apropos to operating leverage that you had articulated at that time. I think it was your COO's presentation. There was an element in the and clearly, you were ahead of schedule delivering that. In the Q4 year ahead of plan like you articulated, Joel. But I wanted to ask, there was an element that added the on the outsource, in-source narrative. Where are you in that journey and how much more is there of an opportunity on the operating leverage side to execute? Thank you.
Joel Wilhite: Yep. Great question, Jamie. And that's that was an important part of our investor day conversation, and we're really proud of being kind of on track if not slightly ahead with those strategies. And that's obviously contributed to being ahead from an overall OpEx as a percentage of revenue. We exited 2024 about what we targeted for the full year 2025. I think it's we are in a continual journey as John Feldman sort of laid out in that investor day conversation of standardizing, automating, and outsourcing or offshoring operations across the business, across the journey from an invoice receipt all the way through to payment and then payment execution as well. So we're really proud of that progress, and it's a big part of our success so far from a profitability perspective.
Operator: This is our question and answer session. I would like to turn the conference back over to Mike Prager.
Mike Prager: Thank you again, everyone, for your interest in AvidXchange. Amid the continuing macro headwinds, I'm very proud of our disciplined execution and strong financial performance. As I said before, I'm particularly excited about the future given the pipeline project innovations and industry-leading ERP integration embedded partnerships that are in progress. That should be able to really propel all four gears of our business flywheel and drive long-term value creation for our investors. With that, we look forward to sharing our progress on our future earnings calls.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.